Operator: Good day, and thank you for standing by. Welcome to the ATN International Q3 2023 Earnings Conference Call and Webcast. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Justin Benincasa, CFO. Please go ahead. 
Justin Benincasa: Thank you, Kathy, and good morning, everyone. This morning, we'll review our third quarter 2023 results. I'm joined by Michael Prior, ATN's Chief Executive Officer; and by Brad Martin, our Chief Operating Officer. Michael will provide an update on the business and strategy and a high-level overview of our quarterly results. I'll cover our financials and provide additional color where necessary, and Brad is here for questions-and-answer session. 
 As a reminder, we released our third quarter results press release yesterday afternoon after the market closed. Investors can find earnings -- earnings release and results presentation on our Investor Relations website. Our earnings release and the presentation contain forward-looking statements concerning our current expectations, objectives and underlying assumptions regarding our future operating results. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those described. Also, in an effort to provide useful information to investors, our comments today include non-GAAP financial measures. For details on these measures and reconciliations to comparable GAAP measures and for further information regarding the factors that may affect our future operating results, please refer to our earnings release on our website at atni.com or the 8-K filing provided to the SEC. I'll now turn the call over to Michael for his prepared remarks. 
Michael Prior: Thank you, Justin. Good morning, everyone, and thank you for joining us. We're pleased with our third quarter performance as we continue to rapidly convert customers to our high-speed networks and work towards completing our 3-year plan at the end of 2024. 
 Let me start by sharing 3 key takeaways from our performance. First, we continue to execute well on all fronts, delivering higher revenue and EBITDA on solid subscriber growth in both the quarter and first 9 months of 2023. Second, the infrastructure investments we've made in building out our broadband network provides the foundation for strong recurring revenues, durable discretionary cash flow and long-term shareholder value. And third, as we approach the final year of our 3-year plan, we remain committed to managing our balance sheet and spending levels to maximize free cash flow over time. So we launched our ambitious Glass and Steel and First-to-Fiber platform strategy 2 years ago, accelerating the delivery of high-speed data services to underserved consumers and businesses, primarily in rural areas. 
 And reflecting on our third quarter and year-to-date results in the context of that plan, I'm proud of the financial and operational milestones our team has accomplished towards those objectives. Justin will provide an update on our financial results, but I'll begin with our operating metrics. We achieved robust high-speed broadband subscriber growth of 20% year-on-year, highlighted by strong contributions from our international markets. Additionally, our international markets saw a 13% annual increase in mobile subscribers. In the U.S., we continue to expand our network reach to high-speed data subscribers and to enterprise and government customers. At the same time, we are making progress on rationalizing our legacy network and reducing run rate operating costs. 
 We recently were recipients or sub recipients of nearly $45 million in federal grants to connect people in underserved rural and tribal areas to high-speed internet networks. These program grants follow on the more than $155 million in grants awarded to us and our partners over the previous 12 months and will subsidize the funding for fiber and fixed wireless high-speed network expansion in rural areas of the United States, including parts of Alaska, Arizona, Nevada and New Mexico. The network builds funded by these and potential additional brands are likely to extend over the next several years, paving the way for us to expand our network reach and grow our customer and revenue base, even as the pace of our self-funded capital expenditures decreased as planned. 
 And for those of you who are new to ATN, we derive about half of our revenue from customers in the U.S., principally from rural communities in the West and Southwest and both urban and rural areas of Alaska. The other half of our revenue comes from Bermuda and the Caribbean, following to some fast-growing markets like Guyana. We're seeing strong mobile subscriber growth and a rapid uptake of high-speed broadband. Based on the positive dynamics and our approach to maximizing the long-term value of our capital investments, we are encouraged about the opportunities across our markets in the quarters and years ahead. 
 ATN is all about high-speed data connections. We play directly into what is unquestionably one of the world's most durable secular growth drivers, the need to be connected anytime and everywhere. And the demand for that connectivity at increasingly higher speed is only going to accelerate. Our network's reliability, consistency and efficiency provide ATN with an essential competitive advantage and long-lasting assets that will only benefit us as the drive towards greater connectivity continues. And now I'll hand the call back to you, Justin. 
Justin Benincasa: Great. Thanks, Michael. As a reminder, all the financials we'll be mentioning during today's call can be found in our accompanying slide presentation that we've added to our website, along with some additional financial tables. 
 ATN's Q3 revenues grew 5% to $191 million, highlighting the steady momentum we've built as a result of our network investments in the past few years. Fixed broadband revenue was the strongest contributor to our top line growth, followed by carrier services and mobility. 
 Moving down the P&L. Operating income grew to $6.8 million from $1.4 million in the prior year. Adjusted EBITDA grew 10% to $47.8 million, driven by the strong performance in our domestic businesses. The total net loss for the quarter was $3.6 million or $0.31 per share compared to a net loss of $2.8 million or $0.25 per share in Q3 of 2022. The higher net loss in the quarter was primarily driven by a $5.8 million increase in interest expense offsetting the $5.4 million increase in operating income.
 Looking at the segment performance for the quarter. The International segment revenues grew 4% to nearly $94 million, while adjusted EBITDA was down slightly to $27.5 million. Operating expenses for the segment were unusually high in the quarter for a number of reasons including the addition of sales support resources that are helping drive the stronger subscriber and revenue growth. We also saw elevated expenses in a few other operating categories, including regulatory fees, and we expect those costs will come down in the coming quarters. For the first time, we exceeded 400,000 international mobile subscribers while also delivering strong high-speed broadband subscriber growth. As I mentioned, subscriber growth was helped by the increased on-the-ground operation support that are capitalizing on the investments we've made to expand and upgrade our network. 
 Mobile churn was up in the quarter as expected, resulting from the wind down of the temporary COVID-related MiFi program supported by the education department in the Virgin Islands. 
 Turning to the Domestic segment. Revenues grew 5% or $5 million to $97 million in the quarter. The increase reflected the strong performance of fixed and carrier service revenue growth, driven by increased enterprise and emergency connectivity fund revenue in Alaska and by the acquisition of Sacred Wind. As expected, this was slightly offset by a reduction in legacy roaming and construction revenues. Adjusted EBITDA in the segment rose 22% or nearly $5 million to $26.9 million. The strong EBITDA performance was driven by higher revenues and several ongoing cost reduction initiatives. As we mentioned in the last 2 quarters, ATN is focused on rightsizing the cost structure necessary to support the business into the future and improve overall operating margins. 
 As a result, we recorded a $1.4 million restructuring cost in the quarter and $4.6 million year-to-date, reflecting mainly costs associated with decommissioning network and reduction in force expenses. We expect the majority of our operational review to be complete in the fourth quarter and do not anticipate any further restructuring costs into 2024. 
 Looking now at capital expenditures. Year-to-date, through September 30, we invested $126.6 million, net of $14.3 million in reimbursable costs, consistent with our Glass and Steel and First-to-Fiber strategies. We're on track to be within our 2023 CapEx guidance for spending between $160 million and $170 million. Within the U.S. segment, CapEx spending during Q3 was $18.4 million. That was primarily related to fiber expansion in Alaska and the Lower 48. Internationally, CapEx spending was $18.7 million in Q3, which focused on the continuing fiber deployment in Guyana. 
 In our earnings news release issued yesterday afternoon, we provided preliminary full year 2024 outlook. Our preliminary '24 adjusted EBITDA outlook anticipates a range of between $200 million to $208 million and our preliminary CapEx spending outlook anticipates a range of $120 million to $130 million. The increase in adjusted EBITDA, combined with the slower pace in our network investments will increase free cash flow as we move into 2024. Consistent with past guidance, our CapEx guidance is net of reimbursable expenses. While ATN is slowing down its rate of capital expenditures going into 2024, we expect the grants we received and expect to receive will further expand our network investments and ultimately extend our network reach and revenue potential. 
 Turning to other balance sheet and cash flow highlights. We ended the quarter with cash and cash equivalents of $73 million and net cash provided by operating activities was $89.5 million year-to-date. At the end of the third quarter, our total debt outstanding was $498 million and our consolidated net debt to adjusted EBITDA ratio remained at 2.3x. As we move into 2024 and expand free cash, we expect to maintain a healthy leverage ratio and financial flexibility. And with that, I'll hand it back to Michael. 
Michael Prior: Thank you, Justin. Our performance across both the broadband and mobile areas of our business has us in a good place as we look towards the final quarter of 2023 and beyond. I'm excited about the opportunities in front of us. As planned, our Glass and Steel and First-to-Fiber strategies have contributed to our recurring revenue and adjusted EBITDA growth. As we move closer to 2024, we are focused on executing on the opportunity we have developed, expanding free cash flow as we come down the other side of the investment bell-curve and growing subscribers and revenue at higher incremental unit margins, which should expand our operating margins and magnify the benefit of the normalizing capital spend levels. We expect the fiber investments in particular, to have a long tail, delivering sustained strong operating cash flows for years to come. And now I'll turn it back to you, operator, to open the line for questions. 
Operator: [Operator Instructions] Our first question will come from Ric Prentiss with Raymond James. 
Ric Prentiss: A couple of questions. First, appreciate the preliminary 2024 guidance always helps. Help us understand what your level of visibility is in giving that? And kind of what the puts and takes are as far as what you're excited about and what you're concerned about. 
Michael Prior: I think to answer the last part first. I mean, I think we feel pretty good about that, and it is preliminary, but I think we feel we will be given a relatively tight range if we didn't feel pretty good about landing in that area. The puts and takes are we have a huge portion of our revenue is recurring, just naturally recurring if not a lot of volatility. So the puts and takes are kind of smaller things. We have one example is we have a contract that we know about that's COVID-related $27 million annual contract in the U.S. side that is going to expire or scheduled to expire at the end of the first quarter. And we've taken that into account, that would be sort of on the negative side. On the positive side, we're pretty confident in the continued subscriber growth and continued organic revenue growth rates on the back of it. And then I would say it's kind of right down the middle in terms of our expectations on that, but not heroic by any means. 
Ric Prentiss: Okay. Speaking of revenue, you guys don't provide a revenue guidance. Any thoughts on why that is? Is it just that you're managing towards the margin, different businesses can have different profiles? Or just wondering when on the revenue guidance as well -- since so much is recurring. 
Michael Prior: Yes. We didn't because I think there's more things moving. It's a lot easier to focus on EBITDA, which leads on CapEx, which leads us to the most important number, which is free cash flow. So we're really focused it there. So -- but as I said, I don't -- I think other than that one example I gave, I think you kind of -- we kind of expect to see revenue growth at similar rates than what we've been experiencing. 
Ric Prentiss: And that $27 million COVID-related contract that was in the U.S. 
Michael Prior: Yes, yes. That's an annual rate. So 3/4 of that will fall away in basically next year. 
Ric Prentiss: Yes. Okay. And obviously, we really do like free cash flow -- at EBITDA minus CapEx kind of simple free cash flow. Justin, you mentioned healthy leverage. Where do we think you want to run leverage at over the mid- to long-term versus the 2.3x where you're at? 
Justin Benincasa: I think we will -- our goal is to still get leverage down in that 2x range, right? So some of that's going to be driven by free cash flow and other can be driven by just growth in EBITDA. But our goal long-term is to keep driving it down from the 2.3x level or it's closer to 2x. 
Ric Prentiss: Okay. And obviously, financial flexibility seems to tee up a lot of shareholder returns. How should we think about -- how you're thinking about stock buyback stock somewhat illiquid dividends, which are usually hopefully forever, just as we think about where financial flexibility might go or M&A. 
Michael Prior: Yes. I think we're primarily focused on the shareholder side as opposed to M&A. We've been investing a lot in the business and it's time to sort of deliver on that. I think on the stock buybacks, I think through September 30, we were at nearly $12 million this year, and that leaves us with at the end of September, we would have had about $7.5 million left in existing program. So typically, in December timeframe and sometimes at other times, the Board will kind of look at those sort of capital allocation decisions, dividends, buybacks and all the rest. 
Operator: This question comes from the line of Hamed Khorsand  with BWS Financial. We'll go to another question or just one moment -- this question comes from the line of Greg Burns with Sidoti. 
Gregory Burns: I just had a couple of questions about the segment margins. First, on the international side, that increase in spending you saw this quarter. It sounded like some was unusual with some was maybe structurally higher spending to drive growth. Could you just kind of break those apart and maybe what kind of -- are you expecting margins to expand from here? Or is this a good level to think about for the business going forward? 
Justin Benincasa: We are expecting margins to expand, but maybe Brad, I'll let you give a little more color on international. 
Brad Martin: Yes. So from a margin expansion perspective, we'll continue to grow margin through continually adding subscribers and revenue on our existing fixed cost-based assets that we've been investing in. And we have, combined with the continued decommissioning of legacy networks, [ CSL ] and Legacy Mobile. 
Michael Prior: And I think just -- I'm not sure we answered you on the most recent quarter was what -- some of it was related to the sales side, but some of the things like regulatory fees and we're focused on bringing those costs down. 
Gregory Burns: Okay. And I think CapEx was closer to $70 million, $80 million annually before I guess you embarked on the current fiber initiatives. Is that a good level to think of like where more steady-state maintenance or run rate CapEx is once we get past 24, maybe it's higher now because you have Alaska -- just how should we think about where CapEx is going to be heading over the next couple of years? 
Michael Prior: Yes. I think if you look -- I think we think of it as a percentage of revenue, right? And we've been running well above 15%, which is sort of what we would call the top end of the normal range in recent years as we've been embarked on these programs. So we would expect it to start not only to move into that range but move down the range, not trying to give you a number on 25% at this point, but I think that's the direction of travel. 
 Typically, in our experience in a lot of the markets we've been in for many years after a period of excess, we usually pretty down 10% can be below that in individual markets for a while after that kind of expenditure. And of course, like everybody else, part of the belief in fiber investment is that it has a lower maintenance cost, and it's got a long run rate of long technologically useful life in the business. So the fundamentals of what we're investing in, I think, should lend us down to the lower end of that range without again, trying to give you a 25% number. 
Justin Benincasa: Yes. And just to clarify, too, Greg, I think your $70 million, $80 million was probably somewhat pre Alaska. 
Operator: Our next question -- this question is from Hamed Khorsand with BWS Financial. 
Michael Prior: I know something must be wrong there, operator. 
Operator: Yes, you may need to unmute Hamed or we can try someone else. Thank you. 
Justin Benincasa: Yes. We'll have to come back to him, I guess, if get that fixed. 
Operator: Yes. So we have another question from Ric Prentiss with Raymond James. 
Ric Prentiss: Just open air time, I'll take it. 
Michael Prior: We can't have dead airtime. You know that, right? 
Ric Prentiss: Exactly, exactly. Can you hear me now. The follow-up questions I had is, first, a lot of interest in the industry about fixed wireless, high-speed Internet. How do you all think about your markets domestically and internationally about do you have the capacity to offer fixed wireless? Is there an interest out there? Can it reduce churn? Just kind of opine on fixed wireless and I have one more follow-up. 
Michael Prior: Yes, I think it's absolutely part of the mix in all our markets really. And it varies, right? An area like Bermuda, it's a very little part of the mix. It's fairly densely populated. We've got high-speed connections to virtually every home. But even in some places like Cayman and in parts of Cayman we are bringing fiber towers and using fixed wireless solutions because the economics are better, and it's typically used in partly populated areas if we have a good enough spectrum availability or and technology availability, we can deliver high capacity to each user. 
 And we've been working with technologies that have really improved the customer experience across the board. And on the U.S. as well, in the U.S., we kind of have always called it sort of hills and towns. So even in the rural areas, we're going to tend to bring fiber to the towns and then we'll bring fiber to the towers into the businesses. And -- but the people live in the hills, ranch in the hill or something. If we're going to connect them, it would be typically through a fixed wireless solution. And we have a number of areas where we have a fair amount of capacity on fixed wireless network investments we've made in the U.S. that we expect to be loading subscribers on in the quarters to come. 
Ric Prentiss: Okay. And the other question is, one of the other topics [indiscernible] recently has been direct-to-device satellite connectivity into smartphones -- you guys have had some views into some of the satellite world, but what are your thoughts on where direct-to-device plays out what role in a [indiscernible]? 
Michael Prior: I mean I think it's going to be great. It's a great tool, and it's a great functionality, right? So I just think where we are an operator, that's the functionality we'd like to deliver to our customers. And where we are not a mobile operator. I think it's good for our customer base in our areas. It's probably -- it's good for some of our workers who are out there in remote areas. So I think it's here to come. I mean how big usage it is a totally different question. But in terms of available functionality, I think it's watch people get used to it, they're going -- everyone is going to want it. 
 I don't know, Brad, if you had anything to add to that or... 
Brad Martin: No, fully agree. And that will continue to evolve. But we definitely see a great use case for that. 
Ric Prentiss: And it seems like the ecosystem really is to get the chipset -- the satellite operators, the chipset, the phone and the operator kind of all congealed and working together. Is that a fair thought or... 
Michael Prior: I don't know if I know enough. I know -- I do think it's got to have some of that. I mean we were involved in XCom, which did that is [ global sat ], right, which is working with Apple, I believe. And so those are -- and there's other providers who are doing that. So it seems to me it does have to be sort of a multipronged effort.
 Any further questions, operator? 
Operator: I'm showing no further questions at this point. So I'd like to now turn it back to Michael -- prior for closing remarks. 
Michael Prior: Okay. Well, thank you. Thank you all for joining us on the third quarter call. That's a good one. 
Justin Benincasa: Take care, everybody. 
Operator: Thank you for participating in today's conference. This concludes the program. You may now disconnect.